Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Intuitive Machines' Second Quarter 2024 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Stephen Zhang, Head of Investor Relations. Please go ahead.
Stephen Zhang: Good morning. Welcome to the Intuitive Machines' second quarter 2024 earnings call. Chief Executive Officer, Steve Altemus and Interim Chief Financial Officer and Controller, Steve Vontur are leading the call today. Before we begin, please note that some of the information discussed during today's call will consist of forward-looking statements, setting forth our current expectations with respect to the future of our business, the economy, and other events. The company's actual results could differ materially from those indicated in any forward-looking statements due to many factors. These factors are described under forward-looking statements in the company's earnings press release and the company's most recent 10-K and 10-Q filed with the SEC. We do not undertake any obligation to update forward-looking statements. We also expect to discuss certain financial measures and information that are non-GAAP measures as defined in the applicable SEC rules and regulations. Reconciliations to the company's GAAP measures are included in the earnings release filed on Form 8-K. Finally, we posted an earnings call presentation on our website, which provides additional context on our operational and financial performance. You can find this presentation on our Investor Relations' page at www.intuitivemachines.com/investors. Now, I'll turn the call over to Steve Altemus.
Steve Altemus: Thanks Stephen and welcome to everyone joining us this morning. The landmark accomplishments achieved up to and during the second quarter were significant milestones that we believe extend our competitive advantage in providing delivery services, data transmission services, and autonomous operations for living and working in space. I refer to them as the three pillars of space commercialization. The company's ability to advance these three services addresses nearly every commercial vision in space whether that's at the Moon, living on Mars, mining asteroids, or people just living and operating in space. It all requires a means to get there, send data, and operate autonomously and that is Intuitive Machines' trajectory. Revenue for the first half of the year was $114.5 million and more than all of 2023. Revenue this quarter was $41.4 million, more than double the same quarter last year. We are advancing into the year's second half with zero debt on our balance sheet and sufficient cash to fund expected operations for the next 12 months. Intuitive Machines booked nearly $70 million of new backlog so far this year with several sizable opportunities still on the horizon. This successful execution is underpinned by standard appropriations marking up $174.5 million for the OSAM project in 2025, which we believe stabilizes the company's OMES-3 contract revenue base and gives us confidence in raising the low end of the full-year 2024 revenue outlook from $200 million to $210 million, resulting in a new range of $210 million to $240 million. This equates to 2.6 times to 3 times prior year sales. For our second mission, we're making considerable progress with the assembly integration and testing of our lander, including successful flight engine qualification. In July, in partnership with NASA, Intuitive Machines finalized the landing site for our next mission. We believe our expertise in reconnaissance and site selection is world-class and with that we have the ability to identify landing areas, potentially holding valuable resources. Collectively, as part of our continued growth cycle, successful flight engine qualification and landing site selection, our foundational capabilities that allow us to evolve our systems as we move towards fielding heavy cargo class lenders to support delivery and lunar prospecting activities. This complements our developing capabilities that are essential for future delivery services, data transmission services and autonomous operations. Now that we are in our new Houston Spaceport facility, we have capacity to construct multiple spacecrafts simultaneously. For our third mission, we have designed and manufactured the majority of our flight hardware, received supplier components and are preparing for assembly and integration. As a part of our lunar mission, I want to point out that Intuitive Machines rideshare delivery services are offered to fill excess payload capacity on the launch vehicle in addition to our lunar lander mission, which improves mission profitability. As of the second quarter, Intuitive Machines has sold out rideshare capacity on our second mission. We've secured commercial rideshare delivery services for asteroid mining on our third mission and satellite deployment services on missions beyond our current NASA contract admissions. This model of creating and maturing commercial services through initial government contracts is one we believe is a winning formula. Now shifting focus to another dimension of our business. We also completed the system requirements review for our Lunar Terrain Vehicle Services program. This milestone validated Intuitive Machines wheeled vehicle and heavy cargo class lander designs. IM is unique among competitors in the LTV bidding pool as we are the only competing prime contractor with demonstrated experience delivering to transmitting data from and autonomously operating on the surface of the moon. Recall, in February of this year, Intuitive Machines delivered both NASA and commercial payloads to the lunar surface providing data services and autonomously operated for 167 hours on the lunar surface through the IM-1 mission. We continue to develop these services through contracts that support both commercial and government endeavors in space. With respect to our current service capabilities and planned growth, in response to NASA canceling VIPER citing budgetary concerns and delays, Intuitive Machines submitted a letter to NASA expressing interest in commercializing the NASA VIPER rover system. The improved economics of our heavy cargo class lander, coupled with our demonstrated capabilities enables Intuitive Machines the unique opportunity to offer to fly VIPER, that's a commercial mission. VIPER is designed to autonomously identify and transmit data in search of key resources on the moon's South Pole. We recognize the valuable data VIPER could provide to the science community and its importance to US space exploration. The significance of VIPER is underscored by China's continued advancements in lunar exploration. Published this past month, Chinese scientists analyzed, soil samples from its 2020 sample-return mission and discovered water in its molecular form for the first time. In June, the nation autonomously returned the first-ever material samples from the far side of the moon, a capability that requires lunar orbiting data relay satellites. These advancements are part of China's larger push to become the dominant space power. Intuitive Machines believes, this is positively impacting policy decisions in Washington that support stable funding and commercial opportunities for Intuitive Machine's services. Data transmission is a critical element of NASA's Artemis program. Similar to the Satellites that supported China's far-side sample-return mission, the Near Space Network Services contract is the keystone for enabling comprehensive data services for navigation, prospecting and communications around the moon. The award for the NSNS contract is imminent and we believe Intuitive Machines is uniquely positioned to win and deliver orbiting lunar data satellites in support of autonomously operated infrastructure on and around the moon. Intuitive Machines remains laser-focused on establishing itself as a pioneering space exploration company. With the addition of NSNS, Intuitive Machines will be positioned to offer the three key services that enable a robust lunar economy. Leveraging contracted revenue, we continue to develop and demonstrate capabilities that allow for a higher level of delivery services, data transmission services, and autonomous operations. Consistent with our business thesis, we continue to execute on these three pillars of space services. It's exciting to see the lunar economy unfolding at such a rapid pace. We are in a strong financial position with demonstrated technologies and capabilities that we believe underscore our competitive advantage. With that, I'll turn the call over to Intuitive Machines' Interim Chief Financial Officer, Steve Vontur.
Steven Vontur : Thank you, Steve, and thanks to everyone joining us today. We had another strong quarter financially, with Q2 revenues up 130% over the same quarter of the prior year and coupled with our solid backlog, improves our cash outlook, and gives us the confidence to raise the low end of our full-year revenue guidance. More on that in a moment. Revenue in the quarter expanded to $41.4 million compared to $18 million in the second quarter of 2023 driven primarily by the OMES, LTVS and JETSON low-power nuclear satellite projects. The $41.4 million in revenue for the quarter also includes the impact of changes in estimates associated with IM-2 and IM-3 NASA CLPS contract modifications to increase contract price. These mods were under negotiation in Q1. During the second quarter, we revised contract revenue and cost estimates to align with these modifications, which resulted in lowered progress towards completion. However, the modifications reduced schedule uncertainty going forward on our next two missions giving us better insight into the landing site location on Mission 2 and NASA payload delivery times for Mission 3. In the long run, we believe these contract modifications allow us to continue to expand our operational lunar program as well as enhance our capabilities to meet new mission requirements in the future. Operating loss for the quarter was $28.2 million versus $13.2 million in the second quarter of 2023. The higher operating loss in the quarter was driven primarily by the completion of the IM-1 mission earlier this year, the non-cash impacts of the previously mentioned contract modifications, as well as $3.7 million in higher SG&A, due to increases in public company costs, employee compensation benefits, stock-based compensation and rent on our new corporate headquarters. Our cash balance remained strong at $31.6 million. In the quarter, we paid off $21.5 million of launch provider payments for our three NASA CLPS missions and retired $5 million of our outstanding debt. These payments in Q2 helped derisk the company's cash position going forward as only the final launch payments for each mission remain at approximately $3 million each. In early July, we paid off the outstanding $3 million balance on our credit mobilization loan and we are now debt-free. With these launch provider payments behind us, coupled with no debt on our balance sheet and the fact that we expect no further significant cash outflows for the company, we believe our cash position is sufficient to fund current expected operations for the next 12 months. This 12-month outlook does not include the impact of any new contract wins final mission success milestone payments on IM-2, or opportunistic capital raises any of which could further strengthen our cash position. For added color, we ended July with a $32.3 million cash balance. Operating cash used was $31.3 million in the quarter with CapEx of $2.2 million resulting in free cash flow in the quarter of an outflow of $33.5 million. As mentioned earlier, this outflow was predominantly driven by $21.5 million of launch provider payments for our three lunar missions. Going forward, we expect higher inflows in the second half of the year driven by our strong visibility into the timing of collection for contracted milestone payments. We ended the second quarter with a contracted backlog of $213 million, an expected decline of $9.4 million as we executed on loans and other contracts partially offset by new awards such as the $29 million for Phase 1 of the LTVS project and contract price increases on our remaining NASA CLPS contracts as I discussed earlier. We expect to grow backlog through the remainder of the year driven by key program awards including the next OMES III task orders coupled with the new award decisions on NSNS and CP-22. Moving on to our outlook for the year. As Steve said, we had a great first half of the year with $114.5 million in revenues, which already exceeds revenue for all of 2023. Given our confidence and visibility into the remainder of 2024, we are raising the low end of our full-year revenue guidance from $200 million to $210 million resulting in a new range of $210 million to $240 million for the year. Overall, this was another strong quarter for Intuitive Machines. We look forward to the pending award decisions in the coming weeks that will continue to drive accelerated growth and solidify our long-term business plan. With that, operator, we are now ready for questions.
Operator: Certainly! [Operator Instructions] And our first question will be coming from Suji DeSilva of Roth Capital. Your line is open.
Suji DeSilva: Good morning, Steven and Steve, congrats on the progress here. Steve Altemus, I wanted to start with the lunar rover program and NASA VIPER. Understanding the -- that NASA is going to respond to you for your submission. What's the schedule timing of that response? And what are the implications if VIPER is unable to continue in terms of how you move forward with the critical information it was going to gather?
Steve Altemus: Yeah. Good morning, Suji. Thanks for the question. VIPER is a very interesting story, referencing budget challenges on NASA side. They canceled the VIPER rover program, but asked if there was any interested, parties commercially or internationally. And so Intuitive Machines, like I said, has the capability to fly about 1500 kilograms of payload to the surface on our heavy cargo class lander called Nova-D. VIPER, as we know is about 500 kilograms. That gives us about 1000 kilograms of extra payload space on Nova-D to improve the economics. If we can monetize that 1000 kilograms that offset any costs for actually flying the mission commercially. Propose that to NASA in partnership with other commercial companies', international partners and universities. We're putting that coalition together, in a response to NASA via an RFI which came out on Friday and we expect to submit that here in the month with that solution. And our position there is that VIPERs science is important to the lunar scientists and the future of the Artemis program. And it's very important in terms of prospecting for volatiles and trained water ice in the soil. Our mission too does some prospecting, but really engineering demonstration. VIPER is a highly sophisticated scientific instrument. We think that the data that it collects is precursor data for Artemis, to help astronauts understand how to live and work on the surface of the moon. So we think that science is very important. We think that the LTV science that we'll collect based on that rover comes also -- but maybe comes too late for influencing the designs of systems that need to be deployed to the surface.
Suji DeSilva: Okay. All right. Thanks Steve. And then diversifying from the launch capabilities the communications, I'm curious what are the next milestones we're building, the lunar comms network having satellites orbiting or -- and that can help with future missions. What are the next milestones or steps to watch for in that important endeavor?
Steve Altemus: Yeah. Let's see. As you know we've built the ground network on our first mission. We used about 12 radio astronomy dishes large aperture dishes on earth for -- to round out the ground network so we can communicate direct to earth from earth to the moon. We have under construction communication satellite data relay satellite for our first instantiation. We're aiming for Mission three, to put that satellite on, but we'll see where that ends up. The major milestone here this year is going to be the Near Space Network Services contract. Intuitive Machines made the competitive range on both the direct to earth they call it, contract line item and also the data relay contract line item. We expect those awards this month in August and in September for those two contract awards. That is the beginning really to kick us off on the initial operational capability and instantiating that in space. And so hopefully we can talk about that next quarter.
Suji DeSilva: Okay. Great. And then one quick financial question, you talked about the cash covering you for the next several quarters. Are facilities cost already in place? Is it CapEx for the required facilities done? Or is there more that has to happen in the next 12 months?
Steven Vontur: We've essentially completed the CapEx investment for the facility. As you know that was -- our new Lunar Production & Operations Center was financed by the city of Houston and we pay in a long-term leaseback arrangement to the city. So, our lease costs come out of our working capital or operating income. And the CapEx is essentially -- our portion of that is essentially paid-off. So, we don't expect any large CapEx requirements going forward.
Suji DeSilva: Okay. Thanks, again. Congrats on the progress.
Steven Vontur: Thanks, Suji
Operator: And our next question will be coming from Griffin Boss of B. Riley Securities. Your line is open, Griffin.
Griffin Boss: Hi. Good morning. Thank you for taking my question. So first, I just want to piggyback on the NSNS conversation. I believe in the last call, your expectation for that award and I guess for CP-22, the IM formation as well was for earlier this summer. Just curious, if you have any color or any idea what's causing the delay there?
Steve Altemus: Yeah. On both of those contracts, we see this kind of up and down in terms of trying to predict procurement awards from the government. Sometimes that takes longer than anticipated. We take the best information we get from NASA on their scheduled procurement and then we take the updates and communicate them to us. So, right now, we're fairly confident we're going to hear both the CP-22 award and the NSNS award outcomes in August here, the second of the NSNS awards in September, and that's directly from our counterparts inside the government.
Griffin Boss: Understood. Okay. Thank you. And then also, I wanted to get some clarity on VIPER as well. Is there any -- does Intuitive need to invest or would Intuitive need to invest anything into VIPER to complete that rover? Or are the costs really what you outlined which would be basically just transporting the rover?
Steve Altemus: Well, I think we're still trying to understand and get a handle on how far NASA goes to plans to take the rover. Is it all the way up to delivery? I know, they're completing the thermal vacuum testing, which was one area that they had planned to stop, before they did that. But I believe that's moving forward. That's a cost that we won't have to cover. I think, there are some operational cost, to actually operate the instruments on the surface, where there would be some either contribution by NASA, or some investment needed to be made to pay for that. I don't think that the $84 million budget left to go is actually real in terms of what we would do commercially. That's a government number. That's not a commercial number. So it's not that significant, in my opinion. But I would want to take key select members from the build team and from the science team, and have them join our team to help us operate on the surface.
Griffin Boss: Got it. Okay. That super helpful, Steven. And just last one for me. Just trying to get a better sense of in terms of modeling when we could expect sort of milestone -- potential milestone payments for IM-2. The wording in the press release in the Q is a little bit different. So, in the Q, you say that, the launch window was extended to early 2025. So, I just wanted to get some clarity if you have any sense of whether you're expecting that the IM-2 launch to be in January 2025. Is that correct?
Steve Altemus: I see what you're referring to. What we have to manage to what I found out of the first mission is it's better to manage to our ship date when we go to the Cape. That's when the landers essentially completed. That's what we contract to internally and within our control barring any technical problems. We then have about a 35-day flow at the launch site through the payload processing facility in the launch pad. Some of that work on scheduling the actual launch time is not within our control. As you recall, there were several highly important missions from our last attempt that pushed us around the launch manifest several months. And so to the greatest extent, I want to stress that the importance isn't the actual launch day. It's that this time frame of the year, this season of launching to the South Pole is of the most importance. And we have that season will be December through the first quarter of January. And so as long as we get off in that region, I'm confident, we won't have any major delays. And so we're tracking to the rollout date or ship date to the Cape. And then we'll see what happens in terms of that season of launch opportunities. One, we've already not disclosed, but actually de-conflicted is the potential for Europa mission, as a planetary window. NASA's Europa mission will take absolute priority on the launch pad. And so we chose to move out of November and focus on the December, January time frame for our launch attempts.
Griffin Boss: Got it. Yeah. That's really helpful. Thanks, Steve, appreciate it. And thanks for taking my questions.
Steve Altemus: Great, Griffin.
Operator: Again, Andres Sheppard your line is open.
Andres Sheppard: Hi. Good morning, everyone. Thanks for taking our questions, and congratulations on another great quarter. Steve, I wanted to maybe -- I wanted to just follow up maybe on the last question there. So can you maybe remind us -- I know you touched on it briefly, what are kind of the important milestones for the IM-2 missions that are needed throughout this year as you get closer to that Q1 2025 launch? And then maybe additionally, how should we now think about the timeline for the IM-3 mission? Thank you.
Steve Altemus: As Steve mentioned in his comments, we have just finalized contract mods with NASA that accounted for schedule movement on the IM-2 and IM-3 mission based on landing site selection. For mission two and for payload delivery dates, moving to the right on NASA payload delivery dates moving to the right. So again, we tried to line those modifications up to the seasons on where we would be able to hit those specific landing sites for Mission 2 and Mission 3. So Mission 2 pushed towards the end of the year and into the first quarter. What we did from a financial standpoint is we plan to book the final milestone payments as you know about 10% of that Mission 2 CLPS contract in the new year and not affect the financials of year-end close for 2024 knowing that there's a lot of variability in outside parties that can affect our date. And so we took a conservative approach there. And so for our forecast we don't have that book this year. So I don't expect an impact even if we were to go in January to the financials for 2024. For 2025, again, we're looking at the season and in the modification. NASA did agree. We're finalizing that today, but did agree in principle on the landing -- the launch moving -- launch and landing moving into the October November time frame. Again, fourth quarter of 2025.
Andres Sheppard: Got it. Super helpful. Steve, appreciate all that color. And maybe just as a quick follow-up. As it pertains to OMES, I'm wondering if you can maybe give us some color on kind of how that contract is progressing. And specifically, what kind of margins should we expect for this year? Thank you.
Steve Altemus: Well, I'll give you the first part of it at least and then Steve can talk about the margins we see. But the OMES contract as you know was at the end of last year was embattled. It was the OSAM project itself was up for cancellation review or continuation review they call it. What we got as a new contractor coming in, we got a fresh look at that OSAM project. We were asked to go look at what it would take to ramp that down. But also, we got the opportunity to say how you might save that project how you might get it back on schedule and back on budget. We did that and we worked with NASA to put a plan together that actually puts it back on schedule for its launch and back in the budget box that was briefed up the chain to NASA. And there was some language -- authorization language or appropriations language that said they wanted a review again. But they reaffirmed their interest in flying the OSAM mission with a line item in the appropriations bill that gave it the necessary funds into 2025 to continue on the path as we've restructured it for success. So that's a very positive sign and that gives us a sense of what the runout on OMES would be for the balance of the year and gave us confidence in our revenue projections. We currently look at the margins there as probably high single-digit margins on that type of service contract.
Steven Vontur: Nothing else further to add I think Steve covered the margin bit there at the end. We were running fairly hot during the first half of the year. That may tail off just a tad as we get into the second half of the year, but still consistent with our expectations overall for the year.
Andres Sheppard: Wonderful. Super helpful and congratulations again. Thanks so much. I'll pass it on.
Operator: [Operator Instructions] Our next question will be coming from Laura Li of Deutsche Bank. Your line is open, Laura.
Laura Li: Hey, thank you for taking my question and congrats on good progress. So my question is looking forward, do you have like a line of set on any potential DoD work? Or how do you think about like diversifying beyond NASA in the future?
Steve Altemus: Laura, thank you for your question. That’s a great question. We have submitted several proposals through our business development group into the DoD for work. We've recently signed a contract with an organization called SEOPS to do rideshare payloads. And so we've increased -- I mentioned in the script that we gained some rideshare business to take payloads out into exploration class orbits and not necessarily to the surface, but out into some orbits of interest for the DoD. So that's pretty exciting. And then, we have also a subcontract with another commercial entity to work on a project with the DoD. We started that one, took that to PDR and we're expecting a next phase of it. So, we are gaining traction there in small bits and we expect that business to continue to grow.
Steven Vontur: One added thing Laura, we're also continuing to execute on the JETSON low power contract that we started late last year. So that's still in full swing with another AFRL contract.
Steve Altemus: Yes, correct. Thanks Steve for a reminder AFRL contract for the JETSON nuclear satellite at low power. And so we're moving ahead there.
Laura Li: Okay. All right. Thank you for the color.
Operator: [Operator Instructions] Our next question will be coming from Andrew Steinhardt of Canaccord Genuity. Your line is open.
Andrew Steinhardt: Hi there. Thanks for taking the question and congrats on a solid quarter. Just a couple of quick questions. First, what is -- have you guys been speaking with NASA about potentially moving the VIPER over to Nova-D Mission? Can you provide any color around that?
Steve Altemus: So we have been speaking to NASA. Again, I spoke about putting a coalition together led by Intuitive Machines, the universities, the international partners and other companies to put together the services we need in terms of the Nova-D heavy cargo lander, the launch vehicle and then the operations piece. We have expressed interest from several different countries, agencies, space agencies and several companies and several universities. So putting that together, we'll respond in our -- in NASA's request for information in greater detail. We did write a letter and express our interest immediately upon notice of cancellation. We think that science is important for the lunar scientists and we think it's important to gather that in the. I imagine probably the late 2027 timeframe is when we're -- we'd aim for that mission. But we'll have to see what all the constraints are and what the comments are back from NASA and what their expectations are. I think it's giving the commercial sector an opportunity to pick this rover up and deliver the science and try to do that or attempt to do that commercially is a good thing. That rover is nearly 90% complete probably more than that and we'd like to see it fly. So, we'll have more information on that once we finalize the RFI and submit that to the government and get some feedback. We think that feedback will come in the September time frame.
Andrew Steinhardt: Got it. That’s excellent. I'll be keeping an eye out for that time frame in September. And just a quick follow-up, I guess -- I'm sorry if I missed it if it was already covered but what are the -- what are your timing expectations on a contract received for IM-4 for Near Space Network services?
Steve Altemus: Yes. We received information from NASA official information that the NSNS contract awards were to occur in the August for the data relay satellites. August timeframe and September for the Direct-to-Earth Earth-to-Moon Communications in the September timeframe. So we're waiting for those patiently. And then the CP-22 the next CLPS award we expect this month in August.
Andrew Steinhardt: Got it. Appreciate all the color. Thank you.
Steve Altemus: Thank you, Andrew.
Steven Vontur: Thanks.
Operator: One moment for our next question, which will be coming from Josh Sullivan of the Benchmark Company. You line is open.
Josh Sullivan: Hi. Good morning.
Steve Altemus: Good morning, Josh.
Steven Vontur: Hey, Josh.
Josh Sullivan: Looking at an election year here as far as the timing of NSNS and some of the other contracts you're talking about do you think the government typical September budget flush is going to help move these along? Or is this not related to that do you think?
Steve Altemus: Well, I think in particular Josh the NSNS contract that proposal was submitted last year and we're patiently awaiting for that award. There's been quite a deliberation. Both Contract Line Items the CLIN 1.2 and CLIN 2.2, both of those have been -- had selections already to a competitive range. We've made those competitive range brackets and moved forward. We had to proceed into oral discussions. We've had oral discussions with the government on both CLINs Contract Line Items and then we were asked for final proposals for each one of those and those have been submitted. So we know the program is moving forward the contract is moving forward in earnest. And like I said the government notified us that an award would be made in August and September respectively. So I don't believe that the potential of the election or a continuing resolution will affect the awards.
Josh Sullivan: Okay. Got it. And then maybe just one on the lunar training program. As far as the requirement to have viable commercial model as well as a competitive bid, what are you seeing from commercial demand interest? Would the SEOPS relationship be a vector for LTV?
Steve Altemus: SEOPS is not necessarily a factor for LTV in that their primary focus is in the delivery transport leg of putting payloads out into what I'd call exotic orbits or more non-traditional orbits. And so we can accommodate them with rideshare. I do see the LTV as a really interesting commercial opportunity. We're -- about seven months of the year NASA will operate that manned rover both autonomously and with crew. And that – whether they're collecting valuable science data or doing crude operations on the surface is what their interests are. The other five months of the year it's turned over completely commercially. And our design for that is a technique where we can actually collect science pallets and deploy science pallets or navigation stations or power stations to support commercial endeavors on the moon. And we've talked to several space agencies and commercial companies that have an interest. And so we think that while we're doing the development to actually do the designs and get ready for the demonstrations we're cultivating the market for that LTV. And so by the time we deploy that in the 2027-2028 time frame that market will come to bear so that we can monetize the LTV commercially.
Josh Sullivan: Thank you. Makes sense.
Steve Altemus: Thanks, Josh.
Steven Vontur: Thank you.
Operator: And I show no further questions at this time. I would now like to turn the call back to Intuitive Machines CEO Steve Altemus for closing remarks.
Steve Altemus: Well, thank you everyone for joining today's call. I appreciate it that you appreciate we have an excellent quarter and look forward to key award discussions in the coming week and we'll support that continued growth for our company. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.